Operator: Good morning, and welcome to the AMSC Fourth Quarter Fiscal 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to John Heilshorn of LHA. Please go ahead.
John Heilshorn: Thank you, Gary. Good morning everyone and welcome to American Superconductor Corporation's Fourth Quarter and Full Fiscal 2023 Earnings Conference Call. I am John Heilshorn of LHA Investor Relations. AMSC's Investor Relations Agency of Record. With us on today's call are Daniel McGahn, Chairman, President and Chief Executive Officer; and John Kosiba, Senior Vice President, Chief Financial Officer and Treasurer. American Superconductor issued its earnings release for the fourth quarter and fiscal-year 2023 yesterday after the market-closed. For those of you who have not yet seen the release, a copy is available in the Investors page of the company's website at www.amsc.com. Before starting the call, I'd like to remind you that various remarks that management may make during today's call about American Superconductor's future expectations, including expectations regarding the company's first quarter of fiscal 2024 financial performance, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those set forth in the Risk Factors section of American Superconductor's Annual Report on Form 10-K for the year ended March 31, 2024, which the company filed with the Securities and Exchange Commission on May 29, 2024, and the company's other reports filed with the SEC. These forward-looking statements represent management's expectations only as of today and should not be relied upon as representing management's views of any day subsequent to today. While the company anticipates that subsequent events and developments may cause the company's views to change, the company specifically disclaims any obligation to update these forward-looking statements. Also on today's call, management will refer to non-GAAP net income loss on a non-GAAP financial measure. The company believes non-GAAP net income loss assist management and investors in comparing the company's performance across reporting periods on a consistent basis by excluding these non-cash, non-recurring or other charges, and it does not believe are indicative of its core operating performance. The reconciliation of GAAP net loss to non-GAAP net income loss can be found in the fourth quarter and full fiscal year 2023 earnings press release the company issued and furnished with the SEC last night on Form 8-K. All of American Superconductor's press releases and SEC filings can be accessed from the Investors page of its website at www.amsc.com. With that, I will now turn the call over to our Chairman, President, Chief Executive Officer, Daniel McGahn. Daniel?
Daniel McGahn : Thanks, John. Good morning, everyone, and thank you for joining us. I'll begin today by providing an update and sharing a few remarks on our business. John Kosiba will then provide a detailed review of our financial results for the fourth quarter and full fiscal year 2023. He will also provide guidance for the first quarter of fiscal 2024, which will end June 30, 2024. Following our remarks, we will open up the line to questions from our analysts. I'll begin with a brief recap of our fourth quarter before discussing fiscal year 2023. Our fourth quarter results exceeded our forecast by nearly every measure, with remarkable revenue growth in both Grid and Wind segments and a third consecutive quarter of non-GAAP net income. We saw revenue grow by more than 30% against the year ago period as we reached a record level recently of revenue surpassing $40 million. Both Wind and Grid grew. Our Wind business revenue increased significantly by more than 125% over the year ago quarter where our Grid business revenue grew more than 20% for the same period. We believe this unprecedented quarterly revenue level and product mix illustrates our ability to generate cash through the improved operating leverage now built into our business. In the March ending quarter, our fourth quarter we saw dramatic operating cash flow improvement when compared to our operating cash burn in the year ago quarter. Gross margins doubled when compared to the year ago quarter. We are being pushed by customers to accelerate shipments. Our manufacturing team and supply chain have been able to respond. We see this in Wind, ship protection and new energy across the entire business. Fiscal year 2023 was one of continued business diversification, outstanding operational performance and strong overall growth. We saw total revenue grow over 35% and to nearly $146 million. During the year, we booked on average over $37 million of new orders per quarter. We booked over $39 million of new orders during our fourth quarter. Of those fourth quarter orders, over $33 million came from our new energy power systems. Our robust 12 month backlog stands at $140 million at the end of March. We have decided to move away from issuing new energy power systems orders press release. We were reporting orders during our earnings call. The initial purpose of these press releases was to have you understand and value our company's grid growth. We talked a lot about growth through Grid. We feel we're past that point with growth now coming from both our new energy power systems and ship protection systems in our Grid segment as well as the return of growth in our Wind segment. All parts of our business are now positioned for growth. Our prospective order sizes are increasing. And as I've mentioned, the balance sheet is supporting this. In fiscal year 2023, we saw diverse revenue in renewable, industrial, mining, navy projects as well as semiconductor. About one-third of our sales were to renewable projects. Industrials represented about a quarter. Metals, mining and materials were over 15%; and the navy was just over 10%. Semiconductor projects accounted for nearly 10%. Our diverse orders for the power grid include military resiliency markets. The orders serving the US military represented an exciting new opportunity for AMSC's new energy power systems. These orders have come and are expected to continue to come from serving the US military by providing efficient and reliable short power to naval vessels. We reached nearly $20 million in military revenue, which includes both ship protection and new energy power systems revenue. We successfully delivered and tested the first ship protection system. The system is now operating on the ship. We delivered our second ship protection system, and we are currently delivering the third. In our Wind business, we more than doubled our year-over-year growth as Inox business prospects demonstrate improvement and our 3 megawatt ECS demonstrates its capabilities. Now I'll turn the call over to John Kosiba to review our financial results for the fourth quarter and full fiscal year 2023 and provide guidance for the first quarter of fiscal 2024 and which will end June 30, 2024. John?
John Kosiba: Thanks, Daniel, and good morning, everyone. Total revenues for the fourth quarter of fiscal 2023 were $42 million. This is an increase of 32% compared to the year ago quarter of $31.7 million. Grid business revenues of $34.2 million, increased by 21% versus the year ago quarter, while our Wind business revenues of $7.8 million, more than doubled versus the year ago quarter. Moving on to the full fiscal year. Our total revenues were $145.6 million, our Grid Business represented 84% of fiscal 2023 revenues. This included year-over-year growth within our new energy power systems and our ship protection systems product lines. Our Wind business represented 16% of fiscal 2023 revenues composed of increased ECS shipments to Inox of both their 2 megawatt and more recently 3 megawatt class turbines. Gross margin for the fourth quarter of fiscal 2023 was 25% compared to the year ago quarter at 12%. And for the full fiscal year, AMSC generated gross margins of 24%, this was up from 8% in fiscal 2022. Our focus on gross margin expansion has been effective with both our Grid and Wind segments experiencing significant gross margin improvements throughout fiscal 2023. In fact, our consolidated gross margins expanded by over 1,600 basis points in fiscal 2023. Now moving on to operating expenses. Research and development and SG&A expenses totaled $10.3 million for the fourth quarter of fiscal 2023. This is up from $8.5 million in the year ago quarter. Approximately 10% of R&D and SG&A expenses in the fourth quarter were non-cash. For the full fiscal year, research and development and SG&A expenses totaled $39.6 million compared with $37.7 million in fiscal 2022, approximately 11% of R&D and SG&A expenses in fiscal 2023 were non-cash. Our net loss in the fourth quarter of fiscal 2023 was $1.6 million or $0.05 per share compared to $6.9 million or $0.25 per share in the year ago quarter. Our non-GAAP net income for the fourth quarter of fiscal 2023 was $1.9 million or $0.06 per share compared with a non-GAAP net loss of $7.8 million or $0.28 per share in the year ago quarter. For the full fiscal year, our net loss was $11.1 million or $0.37 per share, this compares to a net loss of $35 million or $1.26 a share in fiscal 2022. Our non-GAAP net income for fiscal 2023 was $600,000 or $0.02 per share. This compares to a non-GAAP net loss of $28.8 million or $1.03 per share for fiscal 2022. We ended fiscal 2023 with $92.3 million in cash, cash equivalents and restricted cash. This compares with $25.7 million on March 31, 2023. In the fourth quarter of fiscal 2023, we generated $2.2 million in operating cash flow. And for the full fiscal year, our operating cash generation was $2.1 million. Now turning to our financial guidance for the first quarter of fiscal 2024. We expect that our revenues will be in the range of $38 million to $42 million. Our net loss on net revenue is expected to be no more than $2.2 million or $0.05 per share and our non-GAAP net loss is expected to be no more than $500,000 or $0.01 per share. We anticipate operating cash flow to be in the range of breakeven to positive $2 million. With that, I'll now turn the call back over to Daniel.
Daniel McGahn: Thanks, John. AMSC delivered a terrific year of operational performance and success, the culmination of our efforts to build a more diversified and financially stronger company. We have developed growing customer relationships across successive projects of increasing size, content and complexity. We now deliver higher quantities to repeat customers and markets. We believe our company's diverse bookings, strengthened balance sheet and operational success in fiscal 2023 have laid the groundwork for AMSC's long-term growth trajectory. Over the past two years, we have managed well to a sharp increase in revenue. If we look back to fiscal year 2017, our annual revenue was under $50 million. Fast forward four years to fiscal year 2021, and you will see that we doubled revenue to over $100 million. If we look at our revenue for fiscal 2023, we can see that we're nearly halfway to doubling revenue again. We believe we can double revenue from today's annual rate with our current manufacturing capabilities. We are driving operating leverage and cash flow on our improved business model without significant CapEx investment. The business is in the best position it's been in over a decade and continues to improve. We are guiding to another quarter of high revenue levels for our first quarter of fiscal 2024. Again, seeing the $40 million level as possible. The guidance range always depends on the customer timing of milestones on many of our projects, but it is nice to be talking about $40 million when we were talking about $30 million per quarter, only a year ago. We just mentioned the possibility of doubling revenue to double revenue from our fiscal 2021 levels. And let me remind you those levels were in the $100 million a year range, we would need to get to $50 million a quarter. We believe this is certainly conceivable. At this $50 million quarterly level, we have the potential to generate net income with today's product lineup. We see strong indicators in our end-markets. We expect that our new energy power system products should provide a strong base of Grid revenue in fiscal 2024. And we expect that any additional orders from Inox in the navy to have meaningful impact on our business. With that, I'll move on to what we are focused on in fiscal 2024. Let's start with the navy and ship protection systems or SPS. Our systems helped move US Navy ships into the future by installing protection systems that help them stay hidden from our enemy threats. To-date, we have a total of five SPS contracts for the San Antonio Class LPD the USS Fort Lauderdale, the USS Harrisburg, the USS Richard McCool, the USS Pittsburgh, and the USS Philadelphia, which offers improved pricing on the SPS system. We have been talking about more ship content coming, and I emphasize this today as it could dramatically impact the business' cash generation capabilities. We are making tremendous headway with engineering work to specify a potential solution. If we look back a year ago, we announced our proprietary high-temperature superconductor mine countermeasure or MCM system to be designed, built, integrated and deployed on the US Navy's mine counter-measure unmanned service vehicle. Our proprietary MCM system is a capability that is incorporated into an unmanned service vehicle and launched during mine countermeasure operations that patrol for and neutralized mines. We believe that this program is positioned to grow Navy-related revenue in the near future. To be clear, we hope to be serving multiple ship platforms for the US Navy with the addition of the MCM product when it goes into production. We are very focused on expanding to other US ship platforms as well as allied navies. Clearly, there are more ships on the horizon. I'm looking forward to talking about the things our team has been focused on, hopefully in the relatively near future. Another near-term opportunity is wind. We design wind turbines and provide electrical control systems, or ECS to make the turbine more competitive and profitable. In fiscal 2023, we secured nearly $15 million of 2 megawatt wind turbine ECS demand from Inox in India. We also announced an initial 3 megawatt class wind turbine ECS order of $5 million followed by an additional $8 million order. We shipped most of the ordered 2 megawatt and 3 megawatt ECS systems against those orders during fiscal year 2023. Additionally, we completed type certification for the 3 megawatt class wind turbine. The 3 megawatt class wind turbine is now operating in the field and is expected to drive additional customer demand. We are supporting Inox's growth through our proprietary technology that can enable our partner to deliver superior products to the marketplace. Inox is reporting their highest backlog in [recent] (ph) with nearly 2.7 gigawatts of orders. This is why we have been talking about more ships on the horizon and more wind at our back. We should start to see the impact of these two themes relatively soon. Let's discuss our expanding opportunities in our Grid business, really focusing on our new energy product lineup that we have. We have orders in backlog generated from demand associated with the electrification of transportation, where we expect to deliver multiple units of the same design. This is something we've been working on. We are seeing demand for identical solutions for repeat customers. Our future-facing technologies help harmonize the world's desire for decarbonization and clean energy with the need for more reliable, effective and efficient power delivery. That's why we believe to be well-positioned for long-term growth. The world is quickly moving towards decarbonization to slow down climate change and create a path for a more sustainable world. Transitioning to a low-carbon economy potentially increases demand for our new energy power systems through two main avenues, renewables and key materials for the new energy economy. In 2023, renewables [fall] (ph) nearly $1.8 trillion of global investment in the low-carbon energy transition. This global surge of 17% is a new record level of annual investment and demonstrates the resilience of the clean energy transition in a year of geopolitical turbulence, high interest rates and cost inflation. In the US, we see positive effects coming from the Inflation Reduction Act and CHIPS Act, which were enacted in part to address the challenges of climate change with the goal of reducing emissions by 40% in 2030. India, the world's fastest-growing electricity market is forecasting wind power demand to double to 140 gigawatts by 2030. India's government added 2.8 gigawatts of wind energy in 2023, representing an increase of over 50% when compared to calendar year 2022. The key materials for the new energy economy are mainly driven by the electrification of transportation. These key materials include metals and mining as well as semiconductors. For calendar year 2024, the global semiconductor market is expected to grow by nearly 17%, while the global mining market is expected to grow by nearly 7%. The materials industry is being driven by the electrification of transportation, the need to prioritize energy security and the need to bolster domestic supply chains. This exciting energy future depends on computer chips, batteries and fuel cells that are built from silicon, lithium and carbon. All of these building blocks must be mined, processed and assembled into components and final products. Industrial manufacturers of these essential materials must be able to power their factories in ways that scale without adding complexity or size. Right now, we are powering the evolution of a grid that's fit for the future, a more reliable and resilient grid that can incorporate renewable energy sources and our pioneering product software and control solutions. In summary, AMSC delivered an outstanding year of improved operational performance. We've become a more diversified and financially stronger company. Through diligent execution of our strategy during 2023, we expanded gross margins dramatically versus a year ago. We delivered three consecutive quarters of non-GAAP net income and operating cash flow. We ended fiscal 2023 with over $90 million in cash. This cash balance is critical in order to support larger orders, it also presents us with opportunities for further future business growth. And we feel multiple tailwinds coming from our Navy and Wind business. The team is receiving kudos for many customers. We're optimistic our business may benefit from the investments in our key growth markets, renewables, mining and metals, semiconductors and military. We are off to a very good start for fiscal 2024 with tremendous opportunities ahead of us. We believe we have a conceivable pathway to get to $50 million a quarter and potentially generate net income. Several years ago, our annual revenue was under $50 million for the entire year. We are confident of our near and long-term prospects. I am very proud of our team and what they've been able to accomplish. Already, our transformative power solutions are moving the world forward. We are executing on our vision and believe that our creativity can meet today's challenges and help us progress to a better future. This means using future-facing technologies to harmonize the world's desire for decarbonization and clean energy with the need for more reliable, effective and efficient power delivery, we are committed to powering progress by designing, developing and deploying power control solutions that harmonize an increasingly complex energy system. I look forward to reporting to you again following the completion of our first quarter of fiscal 2024. Gary, we can now open the line to any questions from our analysts.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Eric Stine with Craig-Hallum. Please go ahead.
Eric Stine: Hi Daniel, hi John. Hi, good morning. So maybe just starting with Grid and particularly interested in the semiconductor focused part of that business. I'm wondering -- when you look at that growth, I mean, is that broad-based? Is it with one or two customers? And maybe just some details on why you win because clearly, that is a component of the grid strength.
Daniel McGahn: Yes. I think when we look at our future, it is more wind, more ships and more chips. I think that the chip part of the equation here is positioned to really boom. Obviously, not next quarter, but in the coming quarters, we have a very dramatic pipeline of potential projects for our solutions, and that's from multiple chip fab makers, not just the one that people know about because they've been a significant customer for a number of years. But there is a huge investment moving in the US. It is only just begun. We are kind of at the tip of the iceberg, we think with semiconductor, it's probably around of the next maybe three years could be more longer, and we're very well-positioned. And the reason is why we win is, we are able to provide a complete solution without changing complexity or size. So we can fit our equipment easily into small substations as they expand existing fabs or build new ones. We have a very economical solution that we can deliver very quickly to our customers. It is all built in the factory, fully test, ready to plug into the grid. And it's become, for some chipmakers the standard on how they build fast. So we think we're in a great position, Eric for the semiconductor market. And really, we see the future very bright there.
Eric Stine: Got it. And is that -- I mean, do you envision going forward, I believe with your -- with one of the main customers you may be spec-ed in, I mean, is that your expectation that you would, as you said become the preferred solution and that every build-out that happens, it would most likely include AMSC?
Daniel McGahn: Yes. We've identified literally hundreds of millions of dollars of potential business from multiple chip fabs that we are working on competing in. And as you know from prior conversations and calls, we have been spec-ed in by some and we hope to be able to expand that, and we think it is a tremendous opportunity for our business. It is probably an opportunity that most investors don't fully appreciate where we are and where we're going to go, I think pretty rapidly over the coming years.
Eric Stine: Got it. Okay. That's helpful. And maybe then just turning to Wind. So obviously, a great win quarter here. But should we take from your comments that maybe the first half of the fiscal year might be soft simply because although you are in a good position to get more follow-on orders from Inox, you worked through most of the orders that you currently have in hand?
Daniel McGahn: Yes. Other than the word soft, I think it's relatively strong to where we've been in the past years. but I think it's only continue to get better. And then probably the earliest as you're indicating, and for us to confirm is that, the earliest you are going to see further improvement would be later this fiscal year. Our lead time to our customer is about six months. And obviously, the last time that we announced an order was back in January. If you look at their demand, particularly our key customer, that we love, in India. Their demand is only going up, and we believe that there's more orders on the horizon. They're coming, and we want to make sure we're in a good position to be able to deliver them timely because their business really, if you listen to them, it just seems to be strengthening quarter-on-quarter.
Eric Stine: Right. Okay. So just to confirm maybe I misunderstood, but in your prepared remarks, talking about that you shipped kind of the majority of the 3 megawatts, we shouldn't read into that – there is necessarily much of a sequential difference. It is more about don't expect a step up until you get further orders, which obviously you are well positioned to get?
Daniel McGahn: Yes, I think that gets right at it.
Eric Stine: Okay, thank you very much.
Daniel McGahn: Thanks Eric.
Operator: The next question is from Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much guys. I just want two questions on the demand side and the sales cycle. Can you talk a little bit about what you're seeing as book and ship business, either within the quarter or within a 9 month to 12 month period. And then also if you are starting to see any sort of interest from data centers given the substation solution that you talked about, seems like as folks increase the power on some of those data centers, given the increase in compute power on the new servers, that solution could make a lot of sense.
Daniel McGahn: Let me take the second one first, and then I'll ask you with the first one once again, Colin. Data centers are certainly on our radar. We see a large propensity of projects in our pipeline. I think we're trying to figure out how we fit, how we can win, how we can continue to differentiate. I think the combined offering that we have now between what we do in power electronics and superconductors, probably could have a relevant fit in data centers. But kind of like we did when we launched the VVO product, kind of like when we started talking about resiliency for the military using the new energy power solutions. I would like to give you a proof point or [two – to point to] (ph). And hopefully, in the coming quarters or year or so we can deliver on that. And then we can say with more strength that we think data center isn't going to be a future important part of our business. Today, how we're going to benefit is really through more chips and more demand on the grid requires more of our equipment. But there may be eventually a more direct play for us in data centers. And do you mind going back and restating the first part of the question.
Colin Rusch: Yes. I'm just curious about how much of your sales is book and ship within the quarter or within a 9 month to 12 month period.
Daniel McGahn: Yes. I think two things are happening. We are seeing some book and ship in the quarter. There are product lines that work that way. Most of them, we are looking at nine months plus, but we are taking orders still for later this calendar year, later this fiscal year what we are seeing is our supply chain's been able to respond our manufacturing capabilities set up we can deliver. And one of the things that our customers are giving us kudos for us, we are shorting lead times. So, that certainly helps us to look at potential further acceleration in the business. But we have to be able to add more order book, I think, to give everybody comfort and color that this business is going to continue to accelerate to higher levels. You could see just what we have in backlog, we can be at about the current revenue levels for the coming quarters. And then as I mentioned to Eric there's the potential maybe later in the year, we could see further acceleration. But today, I don't know if the order book fully justifies that. But I'm certainly leaning forward that there's a lot more orders coming and I think the business is going to improve over the coming months and coming quarters.
Colin Rusch: That's super helpful. And then I just have a question around some of the value-based pricing initiatives that you have had. And if there is more to do there, obviously, you pushed through some price increases. And is there an incremental opportunity there in your mind? Or -- are you at a place where you're just driving volume at this point because you're at compelling price points?
Daniel McGahn: I'd say, in the general sense, we are just driving volume, but I think there are in certain projects where there's combined offering from our different manufacturing locations, that there we may have some ability to command more price. That's something we are working on to try to figure out. So there may be a piece of that. But I think the main driver will be more volume and kind of a secondary order, there might be some improved pricing for some of the larger orders where we're providing more content.
Colin Rusch: Great. Thanks so much guys.
Daniel McGahn: Thanks Colin.
Operator: The next question is from Justin Clare with ROTH Capital Partners. Please go ahead.
Justin Clare: Yeah, good morning. Hi guys.
Daniel McGahn: Hi Justin, good morning.
Justin Clare: So I just wanted to start out, you talked about the possibility of reaching $50 million in quarterly revenue and the potential to generate positive net income. I was wondering do you think that $50 million is potentially achievable in fiscal '24 or potentially fiscal '25, based on the demand you're seeing? And then as we think about higher levels of revenue, how should we think about your operating leverage? Should we anticipate growth in OpEx that's needed to get to that $50 level -- $50 million level?
Daniel McGahn: Yes, I hate the hard part, I think you asked the right question is the timing of when that can happen. I think certainly, given where the backlog is today, I don't see $50 million per quarter happen in the next four quarters. We want to focus on being able to deliver timely to our customers on the order book that we have. I think as we see -- if we do see an acceleration in orders, then you can start to think about higher revenue levels than that $40-ish million that we did last quarter and we guided what, $38 million to $42 million for this quarter, so similar kind of number. So we're really excited that we were talking a year ago about $30 million now we are at $40 million. And I felt compelled we should talk about $50 million, because I don't want people to realize we don't have to invest -- I want people to be able to realize that we don't have to invest a lot of CapEx to continue growing this business. And to your question about operating leverage, we don't have to scale OpEx. Certainly, not at the same rate relative to revenue, right? So we think we have a very capital-light manufacturer capability, we think we have an OpEx that's highly scalable today and we think we have the demand to potentially scale the business. I think the hard part to answer your question, Justin really is the when and the timing. I know that's what everybody wants. I think all we can do is demonstrate, we're talking about more orders coming. We see wins at our back. We see more ships on the horizon. We see a plethora of new chip opportunities for us that can help continue to drive some growth for new energy. So we think everything is very well aligned. But you know me long enough, Justin, that I usually talk about how, I very rarely talk about when. We're going to see how it all figures out as we generate more significant orders in the future. But, we are very happy with where the business is today, where we've grown it to, and I really want people to realize that, yes there is a lot more upside than what we can do. And that's why I talked a lot about doubling, because that is what we want to be in position that we think the markets are driving, there is a lot of tailwinds that are hitting our entire complete business, and we want to be in a position to take advantage of those as they come.
Justin Clare: Okay. Got it. I appreciate that. And then I guess just recently, it does seem like there is a lot more optimism around the potential for recovery in wind project deployments in the US. We recently got guidance on domestic content, which could be beneficial for accelerating some wind projects. But wondering if you are seeing signs of an acceleration for deployments in the US and a potential for maybe an uptick in order flow for your business?
Daniel McGahn: Yes. We see more potential coming from wind and solar. If you go back to the prepared remarks, I think John said the Wind business, which is inside the wind turbines about 16% and I talked about that renewables which is wind and solar combined, it's more than one-third of the business, right? So there's a good fraction of the Grid business in new energy that's supporting both wind and solar. So we see that tremendous investment today, that investment is growing all over the world, including in the US and we are trying to be in a position to take advantage of that as best we can. And we have an approved lineup. We don't just use D-VAR. We also use capacitor banks from NEPSI, it's a more broader effort and offering that we have in renewables today than we did just a few years ago.
Justin Clare: Okay. Okay. Got it. And then one more from me. I was wondering if you could just speak a little bit more to what's driving these larger order sizes? Is this coming from an increase in the content per order that you are supplying? Or are you seeing the size of projects that you are delivering to, are those project sizes increasing and then wondering how you're thinking about this into the future here? Is there further opportunity to increase content per order? Or are you seeing opportunities for larger projects?
Daniel McGahn: Yes. I think if I go back to the first part, the answer to both is yes. So we're seeing larger projects on the customer that they're building, and we are able to offer more content into those projects. So that helps to drive larger project size. If I look at the future, a lot of our pipeline has very large projects in it. So when we look at our future order size, we think the potential is there to continue to increase it and for the same two factors that you outlined that's increased past revenue, which is larger projects and more content per project. Part of why we want to be in position with the balance sheet that we are today is to support those larger orders. Having that larger balance sheet gives our customers more comfort, but it also potentially allows us to invest in more content, be that on our own organically or be that inorganically, eventually through additional acquisitions. We've been very successful with the entities that we've acquired. The whole business across the board is operating very nicely. And we anticipate, we want to make the effort to make sure that -- that continues to happen. So I think that today's message is, a lot of doubling and a lot of more and more and more which is really what we see on the horizon. I think the question for everybody is how quickly can we go after that and address that. And I think time will tell that. But we are in a wonderful position. This is the healthiest position we've ever been in really as a company all the way back to the founding.
Justin Clare: Okay, appreciate it. Thanks guys.
Daniel McGahn: Thanks Justin.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. McGahn for any closing remarks.
Daniel McGahn: I'm trying to curtail by kind of strong excitement that I have here and where we sit. This is a point we really worked hard to get to and we are here. The numbers are delivering, the things that we wanted you all to believe that we could do are now happening. The business generated cash for the full fiscal year, that is huge, right? And that's not something we said was going to happen. We've tried to manage the business and the growth to get to that point. And John and I as a management team, we don't go out and say we're going to do all these glorious things and then come back and only do a fraction of them. We like to under promise and over deliver, and we feel the business is doing that because our customers are driving us to do that. And that's really given us strong performance financially in the last several quarters. We see a strong first quarter continuing that trend possibly given the numbers that we set. And I think Justin got at it, Colin hinted at it, Eric hinted at it, we got large orders on the horizon coming folks. I think a lot of my excitement is not just today and how the financial results are, but what we see the future possibilities for this company. We've put together a great company run by our employees that are able to deliver and step up to the plate. They've been able to do it at every turn, and we are counting on that to happen. We have great customers. We're getting a lot of great feedback from customers where they want to make bigger orders, they want to make multiple unit orders, things that are parts of our business weren't able to do a few years ago, we can do now. And that's really a testament to everybody's support. So I think there is a lot of belief that I get feedback from investors and where we are going, come with us for the ride here, and I think it’s going to be a bright and shiny future for us. So thanks, everybody, for your time and attention. Look forward to talking to you again in a couple of months.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.